Operator: Good morning, ladies and gentlemen and welcome to the Chartwell Retirement Residences Q2 2023 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski. Please go ahead.
Vlad Volodarski: Thank you, Paul. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer and Jonathan Boulakia, Chief Financial Officer, Chief Investment Officer and Chief Legal Officer. Before we begin, I direct you to the cautionary statements on Slide 2, because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such GAAP and other financial measures. More specifically, I direct you to the disclosures in our Q2 2023 MD&A under the headings 2023 Outlook and risks and uncertainties and forward-looking information for a discussion of risks and uncertainties. These documents can be found on our website or on the SEDAR website. Turning to Slide 3. Our Q2 2023 results clearly show that our strategy is focused on acceleration of occupancy and cash flow recovery are working. We are at 80.4% occupancy in our same-property portfolio in July and expect to grow another 130 basis points by September, a combined 300 basis points increase from April of this year. With continuing improvements in closing ratios and solid leasing activities in all our platforms, I believe this strong trend will continue in the remainder of this year and beyond. Our recruitment and retention efforts have resulted in the continuous reduction of our reliance on agency staffing, with these agency staffing costs gradually decreasing throughout the year. Our residence managers vacancies are now at or below pre-pandemic levels. It is important because stable leadership is key to smooth operations and the delivery of exceptional resident experience in our residences. I am inspired by our team’s agility in the rapid implementation of new technologies. This year, they rolled out a new customer relationship management system, upgraded our call center systems, implemented the recruitment model of our human capital management system, launched our new website and marketing automation system, and accelerated the rollout of our electronic health record system, almost doubling the number of planned rollouts to 60 properties in 2023. These systems improve our employee, residents’ and prospects’ experiences and over time will create significant efficiencies in our operations. We continue our important portfolio optimization activities, divesting non-core, less-competitive properties, where we had to make the difficult decisions to cease operations. Our operations teams with their people first approach successfully transitioned most of the impacted residents to other Chartwell residences. These residents obtained a superior accommodation in services and we have increased occupancies and cash flows in our core properties and eliminated unsustainable losses in the underperforming non-core properties. Our 2023 employee engagement survey results are in. I have a high degree of confidence and trust in our team’s ability to deliver exceptional results in all aspects of our operations. And because of that, I have high expectations. I must admit that our 2023 employee engagement results far exceeded these high expectations. 54% of the surveyed participants in our retirement operations indicated their high engagement, a 5 percentage points increase from our 2022 score and only 1 percentage point short of our 2025 aspirational target of 55%. The combined engaged and highly engaged score was 84% and participation rate increased 8 percentage points to 77%. Thank you to all travel employees for your commitment to our residents, their families and each other, and for your deep and personal connection to our shared values and goals. On that note, I will turn the call to Karen to provide an operational update.
Karen Sullivan: Thanks, Vlad. Moving on to Slide 4. We’re seeing significant signs of occupancy recovery. Our initial contacts are up 6% year-over-year. But as importantly, our marketing strategies are leading to higher quality prospects in our pipeline as evidenced by improved personalized tours and permanent move-in rates. Strategies included changes to our Google and paid social media tactics, as well as a focus on priority properties with unique resident-specific messages and calls to action using a range of mediums, including print, radio, billboard signage, direct mail and digital ads. In Q2, our brand campaign focused on affordability and was deployed through sponsored content, paid social media, videos and television. During year-to-date lease volumes are the highest total on charge record, and on a comparative same-property total portfolio basis, 11% or better than any year going back as far as 2015. We had 25 consecutive positive net activity weeks fueled by closing ratios, which increased from 9% in Q1 to 15% in Q2. We continue to make investments in our technology to assist with sales and marketing. This included implementing an updated call center phone system for our click-to-connect agents that include significant enhancements to monitoring and reporting. I also invite you to check out our fully updated website, chartwell.com, designed for an enhanced customer experience along with a goal of better organic traffic and improve conversion. The revisions include expanded property-specific information and enhanced pricing transparency. The site integrates with our new marketing automation tool, Eloqua, and our sales system, Yardi Senior CRM. This integration reduces the administrative work of our salespeople and allows for automated prospect nurturing strategies. Other sales strategies in Q2 included a successful open house, which resulted in over 1,100 new prospects, with traffic being highly qualified as evidenced by high conversion rates of new ICs to PMIs occurring in the follow weeks. Turning to Slide 5, employee vacancies and turnover decreased in Q2 compared to Q1, and staffing agency spend continued to decline for the third straight quarter, decreasing by 24% in Q2 compared to Q1. We continued our focus on recruitment and retention efforts, including the first release of Oracle Recruiting Cloud, which was launched in May. This technology reduces manual administrative work allows for more efficient tracking of candidates and improve speed to hire. We are focused on recruiting registered staff, including hiring a seasoned nurse recruiter who is developing and implementing Chartwell-specific nursing recruitment strategies. We also completed an RFP in Quebec to reduce the number of staffing agencies we are using, and to improve contract terms and conditions. In addition, we recently developed and implemented enhanced accountability for our residents that are using staffing agencies through new workforce activity tracking approval and reporting. We’ve also now completed staffing optimization in 100% of our retirement residences. This has allowed us to standardize our staffing levels and staffing schedules based on occupancies and revenues across our residences. Finally, the Karan operations team continue to roll out Yardi’s electronic health record in our retirement homes, having already completed the implementation in 34 of our residents with an expectation that we will have 60 finished by the end of the year. This tool will automate our assessments and care plans and assist us to capture and build care services more effectively. I will now turn it over to Jonathan to take you through our financial results.
Jonathan Boulakia: Thank you, Karen. As shown on Slide 6, in Q2 2023, net loss was $7.5 million compared to net income of $1.1 million in Q2 2022. This net loss included $3.1 million of negative change in fair value of financial instruments, primarily from the increase in trading prices of our Trust units compared to a positive change in fair value of financial instruments of $7.2 million in Q2 2022. Total FFO in Q2 2023 was $0.13 per unit and FFO from continuing operations was $0.11 per unit, both consistent with Q2 2022. While FFO per unit was consistent with the prior year, operating results in our core property portfolio have shown a strong improvement. Our same-property occupancy increased 1.8 percentage points to 79.2% and adjusted NOI increased by $4.5 million or 8.7%. This growth was offset by $1.9 million higher G&A expenses primarily due to severance costs and higher unit-based compensation expenses resulting from the increase in the trading price of our units, $1.2 million costs related to the closure of our underperforming non-core properties, and higher finance costs from higher balances on our credit facilities and rising interest rates. Slide 7 summarizes our same property operating platform’s results. All our platforms posted occupancy gains in Q2 2023 compared to Q2 2022, which positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $2.3 million or 16.4%. Q2 2023 included a onetime reversal of certain staffing and cost accruals of $1.7 million upon settlement of contracts for which there was not a comparable amount in Q2 2022. Our Ontario platform same property adjusted NOI increased $1 million or 3.5%. Q2 2022 included higher recoveries of pandemic expenses of $1.7 million, for which it was not a comparable amount in Q2 2023. Our Quebec platform same-property adjusted NOI increased $1.2 million or 13%, primarily due to the 210 basis point occupancy growth. Turning to Slide 8. Our same property retirement portfolio occupancy was 80.4% in July. We forecast it to grow another 130 basis points to 81.7% in September. We continue to see positive trends in our personalized tours, closing ratios and lease signings, which sets us up well for our usually strong fall leasing season. We’re also achieving our expected rate increases and expect to continue reducing our staffing agency spend throughout the remainder of the year. Turning to Slide 9. At August 10, 2023, liquidity amounted to approximately $194 million, which included $26 million of cash and cash equivalents and $168 million of borrowing capacity on our credit facilities. For the remainder of 2023, we have $121.5 million of debt maturing at a weighted average interest rate of 3.68%, of which $39.6 million is CMHC insured. Refinancing of these mortgages is expected to proceed in the normal course. At August 10, 2023, 10-year CMHC insured mortgage rates are estimated at approximately 4.5%. And 5-year conventional mortgage financing is available at 5.9%. We received regulatory approval for the sale of our Ontario Long-Term Care platform. This sale is scheduled to close in September and generate after-tax net proceeds of approximately $206.3 million, which we intend to use to pay down our credit facilities. The sale of Bally Cliff long-term care, currently in redevelopment, is expected to follow in Q1 2024 and generate after-tax net proceeds of $62.9 million. In December 2023, our senior unsecured debentures with a face value of $200 million will mature. We expect to refinance these debentures with new senior unsecured debentures or other unsecured or secured debt subject to market conditions. To de-risk this maturity, we arranged a $200 million delayed draw credit facility with a syndicate of Canadian financial institutions. This credit facility is available any time prior to December 11, 2023 and if drawn, will have May 29, 2025 maturity date and will be subject to substantially the same covenants and pricing as our existing unsecured credit facility. I’ll now turn it back to Vlad to wrap up.
Vlad Volodarski: Thank you, Jonathan. Turning to Slide 10, there is a significant embedded potential value in our portfolio, and we are committed to realizing it. Occupancy is key in this value creation and our teams are focused on execution of our operating, sales, marketing strategies to accelerate this growth. We continue our work to optimize our portfolio, investing capital in our core assets to ensure their continuing competitiveness, repositioning properties requiring more complex strategies and divesting non-core assets. I’m confident that these initiatives, supported by the strong demographic trends, improving consumer sentiment towards retirement living, lower new construction starts and continuing shortages of long-term care beds across the country, will deliver sustained growth in 2023 and beyond and will help us to achieve our aspirational 2025 targets in employee engagement, resident satisfaction and occupancy. I’d like to finish by telling you a story of one of our new residents, pictures on Slide 11. Not only do I find the stories of our residents and staff heartwarming, but they’re also extremely important because they speak to the impact we have on our residents’ lives, the lives of their families and the communities in which we operate. They speak to the kind of company Chartwell is and the kind of culture we have. They are deserving to be shared. During a walking tour at Chartwell Empress Kanata, an individual who does not speak English asked for a tour by using his phone to translate Mandarin to English. Pena, the Retirement Living Consultant, met with him and showed him our Studio Suite. However, without Google translation, it was challenging for them to communicate. It was then that Pena realized the residence has two frontline employees on their team who speak Mandarin, Joanne, a housekeeper with over 15 years of experience; and Jenny, a cook for over 3 years. Both ladies were able to have a wonderful conversation with the individual about the food, housekeeping, the suites and much more. He ended up coming back shortly after and sign a lease at Chartwell Empress Kanata. To me, this is a great example of empowerment of our frontline employees, the team-up approach to sales and, importantly, diversity and inclusion that is being fostered in our communities. We would now be pleased to answer your questions.
Operator: Thank you. [Operator Instructions] The first question is from Jonathan Kelcher from TD Cowen. Please go ahead. Your line is open.
Jonathan Kelcher: Thanks. Good morning. First question, just on the agency costs, good to see them coming down quarter-over-quarter. How close to pre-pandemic levels are you on that? And when do you think you can get there?
Vlad Volodarski: We’re probably still 30%, 40% higher than what we were before the pandemic. And our goal is to get there and hopefully lower than that over time. Exact timing is hard to tell. As Karen pointed out, we’re 24% quarter-over-quarter. If this space continues and we’re doing everything we can to maintain that pace, then we’ll be there quicker.
Jonathan Kelcher: Okay. And last quarter, I think you guys talked about getting your margins back to at least close or very close to pre-pandemic levels in 2024. Are you – do you still think you can do that?
Vlad Volodarski: Yes. That is still our expectations. Labor costs continue to grow higher. We are, as you know, put higher rent increases this year, probably have to do something similar next year based on the market conditions and the cost inflation. We think we’ll be in the kind of mid-30 margins at the end of this year and on our way to pre-pandemic levels in 2024.
Jonathan Kelcher: Okay. Are you getting any pushback on rent increases?
Karen Sullivan: No. I mean, I would say, overall, it’s typical there’s always was a little bit more pushback in Quebec. But nothing that I would suggest is abnormal. I think there is some overall sense from our residents. They certainly pay attention to what’s going on overall with inflation. So it’s going quite well.
Jonathan Kelcher: Okay. And then last one from me. Just on the G&A, it was – it’s a little bumpy in the quarter, and I guess it will continue to be so until the long-term care deal closes. What would you say would be a normalized sort of G&A and – that we can maybe sort of run for 2024 or run a little bit inflation out for 2024?
Jonathan Boulakia: Well, we you’re right. It was bumpy in the first half of the year, and we wouldn’t expect the second half to necessarily be reflective of that. I wouldn’t double the first half to come up with an annualized number. So we think this year, we’re probably going to be running at about $56 million to $58 million by the end of the year. And that’s probably the right annualized number. But we continue to look at ways to reduce our G&A overall.
Jonathan Kelcher: Okay, thanks. I will turn it back.
Operator: Thank you. The next question is from Pammi Bir from RBC Capital Markets. Please go ahead. Your line is open.
Pammi Bir: Thanks. Just great to see the occupancy strides. But as you think about maybe the next 12 months or so, what are some of the things that might impede the momentum that you’ve generated so far? Is it from a competitive standpoint, maybe more aggressive or maybe just tough release up in some more challenged markets? Just curious as to how much further we can expect this momentum to continue. Thanks.
Vlad Volodarski: Well, as I mentioned, I do have high expectations. I expect this momentum to continue and maybe even accelerate. This question is hard to answer for me because I’ve been asked this question many times about the potential headwinds, and it’s really difficult to see in the current environment. The headwinds, I guess, another wave of pandemic or something that we don’t know, obviously, can always be factor. But if you look at the demographic growth of the senior population, of low construction starts, of continuous lack of long-term care beds and improving consumer sentiment, I think this sector, not just Chartwell but everybody, is really poised to this accelerated growth. And that’s why we continue to maintain our aspirational target of 95% occupancy by 2025, because we don’t think – because we think we can get there with all this backdrop. So what can impede it other than another pandemic-type event, that is hard to foresee right now. I cannot really see any of that. It could be faster, it could be slower, but I think direction is pretty clear.
Pammi Bir: Got it. And I think in the past, you talked about the 89% pre-pandemic level. Is that – so you’re talking, I guess, 95% by 2025. Is 89% a reasonable target for 2024 by the end of next year?
Vlad Volodarski: Yes. I mean, that’s certainly what we will be striving towards.
Pammi Bir: Okay. And then just coming back to the agency cost. I think pre-pandemic, they were 3% of revenue. Where are they now?
Vlad Volodarski: I mean, I think I answered that question in a different way, Pammi, not as a percentage of overall cost. I think Jonathan asked about how far are we from the pre-pandemic levels, and we are about 30% to 40% higher right now. And with the pace of reduction that we saw quarter-over-quarter from Q1 to Q2, it was 24%, we’d probably be there within two to three, maybe four quarters. So it should continue to come down. And we have full intention to do everything we can to hire as many as possible of our own people so that we can deliver better and more consistent services to our residents and control costs better.
Pammi Bir: Okay. And then just one last one from me. With respect to the projects with Batimo, I think one more property is stabilized at this point beyond the one that you announced this quarter that you expect to acquire. Just on that second part here, are you anticipating them to exercise their price there as well? And if so, when might that happen?
Jonathan Boulakia: Yes. We have a continuous open dialogue with our partners at Batimo. We’re working through this process on Tricare right now. We don’t expect in the short-term to be going through the same process with them on the second property. Of course, they – as you mentioned, they have that right, but we’re in constant dialogue with them, and we expect that to be not happening in the near-term.
Pammi Bir: Great. Thanks very much. I will turn it back.
Operator: Thank you. [Operator Instructions] The next question is from Himanshu Gupta from Scotiabank. Please go ahead. Your line is open.
Himanshu Gupta: Thank you. And good morning. So just on NOI margins, I think your target was mid-30% NOI margin in second half of the year. I mean given that occupancy is tracking higher than your target so far, is there upside potential to this number?
Vlad Volodarski: Eventually. But at this time, we would maintain getting to mid-30s this year and close to pre-pandemic levels by the end of next year.
Himanshu Gupta: Okay. Fair enough. And then, Vlad, on distribution, any updated views there, especially in the context of occupancy gains you are seeing there? And I mean, are you seeing any elevated maintenance CapEx expenditures? And are you factoring in that as well?
Vlad Volodarski: We always look at our total cash flow projections when we talk about distributions. And we’re still clearly overdistributing. There is no secret about that. Our expectation, as we previously communicated, will be covering our distributions with AFFO at the back end of this year and on a full year basis next year. And by the back end of next year, we will be very close to covering our full capital with our operating income – operating cash flows.
Himanshu Gupta: Got it. Thank you. And maybe just turning to balance sheet. $200 million of unsecured debenture, I think that’s December. What are your rate expectations if you were to go to unsecured market today?
Vlad Volodarski: Probably high success at the present time.
Himanshu Gupta: Okay. And is there any room to do more CMHC debt financing, like secured financing with CMHC, which could have a better rate than the unsecured debenture market?
Vlad Volodarski: Absolutely. That is another benefit of growing occupancy. As you know, it’s a lot easier and more efficient to put CMHC mortgages on the properties that are at stabilized occupancy levels as opposed to that are still in lease-up. And so the more of those properties that we have, the more CMHC debt we can access. And our teams are working really hard to monitor that and maximize CMHC-insured borrowings so that we have that lower cost of debt or structure and more of it.
Himanshu Gupta: And do you need to get to a certain occupancy level or certain NOI margin before you can qualify for financing for CMHC in some of the properties?
Vlad Volodarski: No, but it’s more efficient when you have a history of higher occupancy, you get better leverage with CMHC, and therefore, it’s easier to manage on the portfolio.
Himanshu Gupta: Okay. And maybe just the $120 million mortgages coming due for the – I think the second half of the year. Will – everything will be done with CMHC? Or there’s something which doesn’t qualify for debt financing?
Vlad Volodarski: Not everything will be CMHC. But also remember, we will have proceeds from the sale of Ontario Long-Term Care portfolio coming into our structure, and these proceeds are intended to be used to pay down debt. So some of the mortgages that may not be qualified for CMHC will be paid down from those proceeds.
Himanshu Gupta: Awesome. Okay, and maybe just last one, and back to the occupancy side of things. Looks like Quebec, in particular, are showing some good occupancy improvement. Is there any specific markets which are doing better in Quebec?
Karen Sullivan: Yes. Certainly, it’s been great to see Quebec city starting to come back. They’re performing very well, and signed leases and their futures look really good. The other markets that we talked to you about that have been challenging are also starting to improve. So Durham and Ottawa. Calgary maybe a little bit slower. We have pure independent living there, and so it’s a little slower to come back. That’s pretty consistent with the overall trends. The occupancies come back more quickly where – in terms of needs driven properties.
Himanshu Gupta: Okay. Thank you so much.
Operator: Thank you. There are no further questions registered at this time. I will turn the call back to Mr. Volodarski.
Vlad Volodarski: This wraps up today’s conference call. Thanks again to everybody for joining us. And as always, if you have any further questions, please don’t hesitate to give us a call. Goodbye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.